Operator: Good morning, and welcome to the Intercorp Financial Services First Quarter 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the presentation, we will open the floor for questions. At that time, instructions will be given as to the procedure to follow if you would like to ask a question. Also, you can submit online questions at any time today using the window on the webcast, and they will be answered after the presentation during the Q&A session. Simply type your question in the box and click submit question. It is now my pleasure to turn the call over to Mr. Ivan Peill from Inspire Group. Sir, you may begin.
Ivan Peill: Thank you, and good morning, everyone. On today's call, Intercorp Financial Services will discuss its first quarter 2025 earnings. We are very pleased to have with us Mr. Luis Felipe Castellanos, Chief Executive Officer, Intercorp Financial Services; Ms. Michela Casassa, Chief Financial Officer, Intercorp Financial Services; Mr. Carlos Tori, Chief Executive Officer, Interbank; Mr. Gonzalo Basadre, Chief Executive Officer, Interseguro; Mr. Bruno Ferreccio, Chief Executive Officer, Intelligo. They will be discussing the results that were distributed by the company yesterday. There is also a webcast video presentation to accompany the discussion during this call. If you did not receive a copy of the presentation or the earnings report, they are now available on the company's website IFS.com.pe. Otherwise, if you need any assistance today, please call Inspire Group in New York at (646) 940-8843. I would like to remind you that today's call is for investors and analysts only. Therefore, questions from the media will not be taken. Please be advised that forward-looking statements may be made during this conference call. These do not account for future economic circumstances, industry conditions, the company's future performance, or financial results. As such, statements made are based on several assumptions and factors that could change, causing actual results to materially differ from the current expectations. For a complete note on forward-looking statements, please refer to the earnings presentation and report issued yesterday. It is now my pleasure to turn the call over to Mr. Luis Felipe Castellanos, Chief Executive Officer of Intercorp Financial Services, for his opening remarks. Mr. Castellanos, please go ahead, sir.
Luis Felipe Castellanos: Thank you. Good morning all, and welcome to our February earnings call. First, I want to thank you for attending our call today. We have started the year with a positive sentiment observing stability in the Peruvian economy with several consecutive quarters of growth exceeding 3%. This growth is driven by increased dynamism in sectors linked to consumption and the sustained momentum of private investment, which is projected to grow by 6.7% year over year as of March 2025. We remain moderately optimistic about the future growth of Peru as private investments and consumption continue their positive trends. Consequently, the forecast for GDP growth is 3.2% according to the Central Bank. Nevertheless, we are cautious, given that 2025 is a pre-electoral year which could generate some volatility. We are also aware of external factors that could impact global growth, which we expect could be offset by persistent high commodity prices. Moreover, the International Monetary Fund has recently updated its growth estimate, adjusting global growth downward by 0.5%, while increasing Peru's GDP estimate by 0.2%, positioning Peru as one of the highest growing countries in the region for the year. The first quarter of 2025 was positive for IFS, with our ROE exceeding 16%. This performance aligns with our expectations and sets us on a path towards achieving our long-term targets. We believe the positive trend should continue throughout the year. At Interbank, we had a better than expected start to the year. We managed to increase our market share in loans, strengthening our position as the third largest bank in the country. This growth has been mainly driven by our commercial banking business, where we gained over 120 basis points in market share. Moreover, we believe we are on the right path for the recovery of our consumer portfolio, as we are seeing more cash loan disbursements thanks to our improved underwriting standards and the more benign macro environment. However, we are not there yet. Easy Pay and Interbank continue to seize business opportunities together, while Blyn keeps increasing the engagement of users, fostering more primary banking relationships and supporting growth. At Interseguro, we have seen relevant growth in our core business, mainly in Individual Life and Annuities, where we continue to be the market leader. Our Wealth Management segment, Intelligo, continues a positive dynamic with clients, as assets under management reach a new all-time high, growing by 16% year over year. We want to reaffirm our conviction to place our customers at the center of our decisions. As such, our key strategic priority at IFS is to achieve digital excellence for our customers and foster primary relationships. Our ambition is to become a leading digital platform with a clear focus on key businesses and profitable growth, always providing a comprehensive suite of services supported by a world-class digital experience and leveraging analytics as our competitive advantage. Going forward, we continue to be optimistic about IFS' prospects, which have proven to be resilient through the bottom part of the credit cycle. Our outlook on the back of the continued expected recovery of Peru's fundamentals is positive. As such, we continue executing our long-term strategy. Now let me pass it on to Michela for further explanation of this quarter's results.
Michela Casassa: Thank you, Luis Felipe. Good morning and welcome again everyone to Intercorp Financial Services 2025 Earnings Call. We would like to start with our key messages for the quarter. First, we had a solid start to the year as we observed a good trend in earnings and profitability. Our net income reached $446 million at the IFS level and ROE exceeds 16%. Second, we are strengthening our commercial and payments ecosystem as Interbank's share of Easy Pay flows now stands at 40%, allowing us to increase our market share in Commercial Banking by more than 20 basis points in the last year. Moreover, our consumer portfolio has stabilized in the past two quarters and started to grow back in the last three months. Third, our quarterly cost of risk stood at 2.8%, which is 190 basis points below last year, although it is 20 basis points higher than the previous quarter due to the Telefonica impact on provisions. Excluding this effect, the cost of risk would have been 2.5%, driven by the constant reduction in the retail cost of risk. Fourth, the cost of funds remained stable this quarter, although showing an improvement on a year-over-year basis of 80 basis points. This improvement is primarily due to a fast repricing and improving funding mix. Fifth, we are increasing primary banking relationships through a top digital experience, as a result of which retail primary banking customers grew 15% in the last year. Sixth, we have continued with strong growth in our insurance and wealth management core businesses. The retail premiums grew 36%, driven by annuities and life insurance, and assets under management grew 16%. Finally, this result includes an impact of around $144 million in provisions due to Telefonica deterioration. Even including this effect, the results are above our expectations, marking a strong starting point for the year and setting us on the path to our medium-term ROE goal. Let's start with our first key message. On Slide four, the improvement in macroeconomic indicators has been steady over the last twelve months, primarily driven by investment and consumption. Consequently, GDP grew around 3.5% for the first two months of the year, marking several consecutive quarters with growth above 3%, as Luis Felipe mentioned. Over the past year, most sectors have experienced growth, with the most significant contributions coming from manufacturing, trade, other services, agriculture, and fishing. In February, the primary sector contributed 2.3%, while the non-primary sector contributed 2.5%. Regarding monetary policy, the Central Bank successfully controlled inflation, anchoring it within its target range with an expected expectation of 2% for 2025. The Central Bank has been proactive in managing the reference rate, as yesterday, it surprised the market, cutting an additional 25 basis points, standing now at 4.5% with no spread above the Fed rate. Additionally, the currency has remained steady throughout the year. Both inflation and the exchange rate are expected to remain stable in 2025. Looking ahead to 2025, the Peruvian economy is projected to grow by around 3.2%. This growth is anticipated to be stronger in the first half of the year due to the pre-electoral period, which typically reduces the dynamism in the second half. Additionally, the IMF updated its growth estimates, increasing Peru's growth by 20 basis points to 2.8%, despite reducing global growth by 0.5%. On Slide five, consistent with the previous one, indicators show optimism in the labor market and private investment. While a key driver for growth has been the improvement in private consumption. Consumer confidence continues its positive trend, aligning with economic optimism and labor market recovery. As of February, formal employment and real formal wages have shown a year-over-year growth, positively impacting private consumption. Business trust has remained stable and positive throughout the year. The Central Bank's latest report anticipates private investment to grow by 4.1% in 2025, reflecting a more optimistic view of the Peruvian economy. Analysts estimate a 6.7% growth in private investment in the first quarter. Regarding mining, several projects are planned for the upcoming years, with total investments expected to surpass $10 billion by 2028. Some examples include Tia Maria and Llanacocha. According to ProInversion, there are more than 80 projects in the pipeline for the next two years, with an estimated total investment of $17 billion, mainly in the transportation and telecom sectors. Finally, although the fiscal deficit is above 3% of GDP, it is still better when compared to the region, and the expectation for it is to return to 2.2%, which is within the fiscal target. On Slide six, we are closely monitoring the evolution of economic policy in the United States, which is generating uncertainty in the business environment. In this context, we wanted to review the current status of Peru's trade. Firstly, it is important to note that the United States is no longer Peru's primary commercial partner, but the second, representing approximately 13% of our total exports. Secondly, our main export products to the United States are agricultural goods, which have low price sensitivity. Therefore, we do not anticipate a significant impact on these products from tariffs. Finally, our main export products, copper and gold, remain at high historic levels in terms of price, which should provide additional support for investment and GDP growth. We believe that in the short term, the direct impact of these policies will be mild. However, as the trade war escalates and affects global growth, it could have repercussions on Peru's growth for 2026 and beyond. On Slide seven, and moving to the results and the good start of the year for IFS, IFS achieved earnings of $446 million, which is 3.2 times last year's. The ROE reached 16.3%, surpassing our short-term expectation and setting us on a path towards our medium-term ROE goal. The year-over-year improvement is primarily linked to banking results, as both the cost of risk and the cost of funds have significantly declined. Furthermore, insurance results had a positive quarter compared to the negative first quarter of 2024. In banking, during the last quarter, net income has remained stable, which is positive considering the seasonal effect on banking results in the fourth quarter due to the high level of activity in December of every year and to the fact that in the first quarter of 2025, we had around $41 million impact related to our indirect exposure to Telefonica. In the insurance business, our current operations remain solid, with annuities and life insurance continuing to grow. Moreover, this is the first quarter where the disability and survivorship premiums acquired from the Peruvian private pension system start. The increase in earnings in the first quarter of 2025 is also attributed to a good performance in the portfolio, despite the impact of around $63 million due to the Telefonica case. Finally, in the Wealth Management business, the positive dynamic with clients continues. Additionally, the investment portfolio performed well on a year-over-year basis. On Slide eight, we have positive news as revenues increased 14% in the last year, a good performance in the three operating companies. First, we see a 37% increase in revenues from Interseguro as we see most of their business lines highlighting that the disability mentioned before came into effect. Second, there has been an important improvement in revenues at Interbank on a year-over-year basis, driven by a reduction in the cost of funds and an increase in fee income and other revenues. Finally, we continue to see strong performance in the core business at Intelligo, with better returns from the investment portfolio compared to the previous year. To conclude this section, we would like to share with you the key businesses in which we have focused our growth efforts. We continue to see strong growth in our commercial business, showing a 19% year-over-year increase. Moreover, small businesses have shown a 60% increase in loans and an 18% growth in deposits. Both have been boosted by our synergies with EasyPay, the strong focus on sales financing, as well as our digital capability. On the retail side, consumer loans, excluding payroll deductible loans, have stabilized. Meanwhile, mortgages are showing a 7% increase, gaining market share and now ranking number three in the system. In insurance, we continue to grow our contractual service margin by 27% in the last year, as long-term insurance such as life insurance, annuities, and credit life show a positive path. Finally, wealth management will continue to grow with assets under management, increasing 17% on a year-over-year basis. Now let's move on to our second key message. Over the last quarters, we have observed a significant change in trend in the credit cards and personal loans portfolio. As the last three months, including April, have shown growth. Our focus has been on exploring different growth avenues within specific segments. Additionally, we have seen a reactivation in cash loans disbursements, which have increased by 27%, and credit card turnover, which has risen by 11% over the past year. We are growing with a better risk profile, as we can see from the constant improvement in the cost of risk of retail during 2024 and 2025. The enhancement of our internal models, including customer centricity vision, is allowing us to address growth in a healthy manner. On Slide 12, we have observed a year-over-year loan growth total loan growth of 8.2% in a context where the overall market has grown only around 2%. On the retail side, we experienced nice growth in mortgages with around 7% year-over-year, the consumer portfolio has still decreased by 4.8% on a yearly basis, although it has been stable in the last two quarters. The commercial loan book experienced significant growth this year, with a 19% year-over-year increase, it has gained relevance in the mix rising from 44% to 48%, getting closer to our fifty-fifty balanced portfolio. During 2024, we leveraged the Impulso Mi Peru program, although we did not use the program in the first quarter of 2025. Midsize companies gained over 270 basis points in market share, now consolidating as third in the market. Sales finance remains one of our key products, with market share growing from 16.9% just twelve months ago to more than 18%, ranking second in the market. Therefore, the commercial banking portfolio has outperformed the system, gaining 120 basis points in market share, reaching almost 11%, which is our all-time high. As part of our strategy, we continue to strengthen our payment ecosystem with Blyn and EasyPay. We have continued working to generate further synergies, encouraging the growth of our payment ecosystem, focusing on increasing transactional volumes, offering merchants value-added services, and using EasyPay as a distribution network for Interbank products as well as a source to increase flow. In this manner, our digital retail customers have grown by 16%, and our Blyn active users by 20% over the last year. Moreover, EasyPay and EasyPay continue to gain traction, with volumes from EasyPay increasing 2.5 times, resulting in more flow coming to Interbank. Consequently, small businesses' deposits have grown by 18%, and Interbank's share of EasyPay's flows now stands at 40%. As a result of the synergies mentioned, we see positive trends in four key indicators, as you can see on Slide 13. Around a 30% yearly increase in EasyPay cash flow coming to Interbank accounts, a 52% increase in flow from merchants, a 2.8 times share increase in transactional volumes, and a 66% growth in float from micro merchants thanks to EasyPay. Following with the third message, we continue to see a positive trend in cost of risk. On Slide 16, we wanted to highlight that the cost of risk and NPLs continue to be at low levels at 2.8% and 2.5%, respectively. If we exclude the Telefonica effect, the cost of risk would have been 2.5%, continuing the positive trend in this indicator. In general, both indicators have followed a downward trend over the last year, thanks to the improvement in economic indicators and better payment behavior from clients. The main driver for this positive trend has been the improvement in the retail risk profile. Over the last twelve months, credit cards and personal loans have decreased in size, now representing 18% of the total loan book, down from 22% a year ago. The new vintages are healthier, as the better macro environment is having a positive impact on the payment behavior of our customers. This has allowed the cost of risk from retail to reduce consistently during the last twelve months to 4.1%, which is 380 basis points below the levels of a year ago. Regarding Commercial Banking, the cost of risk was impacted by provisions made due to letters of guarantee held by Telefonica. Excluding this effect, the cost of risk would have been 0.3%. This segment has performed well over the last year, with approximately 11% of the commercial portfolio backed by guarantees from the Impulso Mi Peru program. Finally, the NPL coverage ratio has remained stable above 140%. On Slide 17, NIM has remained relatively stable, while risk-adjusted NIM improved by 120 basis points on a year-over-year basis in line with the improvement in cost of risk mentioned in the previous slide. The risk-adjusted NIM, excluding the Telefonica effect, has remained stable in the last quarter. There continues to be an impact on yields due to the lower market rates and the shift of the loan book mix. Consequently, we see lower income loans of 80 basis points in the comparison, reaching 10% by the first quarter. This trend should improve as we continue to grow the consumer portfolio. Now, we will deep dive into the cost of funds improvement. On Slide 19, the cost of deposits continues a positive downward trend, not only due to lower market rates, as we continue to reprice our liabilities, but also due to a better funding mix as the low-cost funding has gained relevance, representing 35% of our funding. It is important to mention that deposits have become a more relevant part of our funding structure, increasing from 78% to 81% in the last twelve months, with growth in both retail and commercial deposits. As a result, our cost of funds improved by 80 basis points on a year-over-year basis, although stable in the last quarter. Finally, our loan-to-deposit ratio stands at 97%, in line with the industry's average. On Slide 20, we wanted to take a closer look at the low-cost funding strategy of Interbank, which primarily focuses on capturing saving deposits and current accounts with low to zero interest rates. To achieve this, we have implemented various initiatives aimed at enhancing the value-added services provided to our clients. For example, the synergies with EasyPay have enabled us to offer a more comprehensive service to our clients, thereby increasing the flow that stays at Interbank accounts from EasyPay and generating a rise in the transactional deposits. This has contributed to a 16% increase in commercial low-cost funding. Additionally, we continue to work on the engagement of clients and enhancing the customer experience to foster primary banking relationships. Consequently, retail low-cost funding has seen a 10% increase over the year. As a result, we achieved a 14% year-over-year increase, raising our share of low-cost funding from 32% to 35% in the last year. Moving on to our digital strategy, we believe we are creating significant value in primary banking relationships through our digital developments and play. Over the last year, we have been able to increase our retail primary banking customers by 15%, now representing more than 32% of our retail client base. To achieve this, we have been implementing commercial actions focused on increasing engagement and transactions, which have resulted in accelerated growth for Blyn. The number of transactions doubled in the year-over-year comparison, with active users increasing by more than 19% and the average number of transactions per user rising by 40%. Additionally, we believe we have solid key performance indicators that continue to improve. For example, our inflow payroll accounts hold around 14% market share, retail deposits are at approximately 15% market share, and credit card accounts account for about 26% market share. All of these metrics are supported by an NPS of 58, reflecting our commitment to customer satisfaction and loyalty. On Slide 23, we continue to highlight the positive trends in our digital indicators compared to the previous year, as we are continuously developing solutions to meet our customer needs. As a result, we have seen substantial growth in retail digital customers, increasing from 77% to 82%, as our commercial digital clients stand at 72%. The digital self-service indicator and digital sales have risen to 70% respectively, thanks to our always-on communication actions, which focus on educating customers about new self-service functionalities through the app and our virtual assistant. Finally, our NPS has been covered during the last quarter from 55 to 58. Finally, a message is that there is strong growth in insurance and wealth management. Moving to insurance on Slide 25. On a yearly basis, we see an increase in the contractual service margin of 27%, mostly driven by Individual Life and annuities. In the first quarter, we observed growth in Individual Life and Annuities reserves of 38%, respectively, driven by the generation of new business, which surpassed the monthly amortization of the CSM. Also, we see an increase in short-term insurance premiums of 124%, mainly due to disability and survivorship premiums acquired from the Peruvian private pension system through a two-year bidding process. The result from investments increased to 35% year over year. The return on the investment portfolio reached 6.2%, mainly due to better real estate and investment funds valuation, offsetting the $63 million provision due to Telefonica. In insurance, we continue to focus on enhancing the digital experience for our clients and expanding our sales from digital channels. The redevelopment of internal capabilities has allowed us to increase digital self-service to 69% from 63% of the previous year. Also, Bancassurance digital sales have reached 30% of total Bancassurance premiums, and direct digital sales continue to grow, reaching $23 million in the quarter, up 15% from last year. On wealth management, assets under management continue to grow at an annual rate of 16% on a quarterly basis, reaching a new all-time high of $7.5 billion, despite a slight impact on market valuations due to global volatility. Interfondos had important growth as the digital developments with the app have allowed us to grow more than 43% when compared with the previous year. This growth continues to support strong fee generation, which remains steady at $46 million for the quarter. On the digital front, we continue to enhance our Interfondo app with the goal of shifting its role from a transactional platform to a true digital adviser for our mutual fund clients. As a result, we have seen a sustained increase in both the app adoption with a seven-point year-over-year increase and digital transactions, which grew by nine points annually and now represent more than half of all client transactions. Now let me move to the final part of the presentation, where we provide some takeaways. On Slide 30, we wanted to give you a summary of our strategy, which focuses on three key strategic priorities. First, we aim to become a leading digital platform with profitable growth. IFS has demonstrated solid recovery during 2024 and continues to perform well during the first quarter of 2025, with a net income 3.2 times larger than the same period last year. Second, we strive to build primary relationships by placing the customer at the center of our decisions and offering the best digital experience. As a result, NPS like the retail banking NPS at 58 are at top levels, and our retail digital clients are more than 80%. Third, we continue to focus on our key businesses, maintaining a significant market share in consumer banking above 21%, ranking second in the market. Retail deposits are around 15% market share, ranking third in the market, and commercial banking holds approximately an 11% market share, growing its relevance in the market. In annuities, we are the leader with over 30% market share. Finally, Wealth Management, assets under management continued to grow at a double-digit rate, reaching 17% year over year and surpassing previous max. On Slide 31, let me give you a review of the operating trends of the first quarter. Capital ratios remain at strong levels, with a total capital ratio above 17% and the core equity Tier one ratio close to 12%. Let's remember that we issued a Tier two bond for Interbank in January. Our ROE for the first quarter was 16.3%, in line with our guidance for 2025, setting us on the correct path to achieve our long-term goal. For loan growth, we grew 8.2% year over year, in line with our guidance of high single-digit growth. The first quarter was driven by Commercial Banking. We expect this trend of total loan growth to continue as we resume growth in the consumer portfolio. We expect a recovery of NIM for the rest of the year as the cost of funds improve due to a better funding mix and the yield on loans recovers in line with the consumer portfolio growth. Cost of risk remains in line with the guidance. And we continue to focus on efficiency at IFS, as our cost to income was around 35%, below guidance. On Slide 32, we highlight our sustainability performance in the first quarter of 2025. On the environmental pillar, we continue to drive impact through sustainable finance. Our outstanding sustainable portfolio has grown to $380 million, a $40 million increase compared to 2024. Regarding our own environmental footprint, we have verified our 2024 carbon emissions, achieving a significant reduction of 27% compared to previous years, alongside a 4% decrease in energy consumption, a key driver of our financial stores and main offices efficiencies. On the social pillar, we are consistently empowering entrepreneurs through our digital wallet EasyPay app, which reached over 47,000 this quarter, totaling 1.1 million users. Furthermore, underscoring our commitment to financial education and non-clients, we have provided financial training to over 2.5 million clients. Our inclusive insurance offerings also saw growth, with more than 1,800 new sales of Rumba and VidaCash policies during this quarter. On the governance and transparency pillars, IFS has been included in the Dow Jones Sustainability Yearbook 2025 for the second consecutive year. We have also published our comprehensive IFS Sustainability Report in accordance with GRI and SASB standards. Finally, to foster collaboration and develop a unified sustainability strategy across IFS, we have established an ESG efficiency committee with representation from each of our subsidiaries. Let me finalize the presentation with some key takeaways. First, we have had a solid start to the year. Second, growing commercial and payment ecosystem while stabilizing the consumer portfolio. Third, positive trend in cost of risk continues. Fourth, improved funding cost continues, driven by growth in deposits. Fifth, we are increasing primary banking relationships to a top digital experience. And sixth, important growth in insurance and wealth management continues. Thank you very much. Now we welcome any questions you might have.
Operator: Thank you. At this time, we will open the floor for questions. First, we will take the questions from the conference call and then the webcast questions. If you would like to ask a question, please press the star key followed by the number one key on your touchscreen phone. Questions will be taken in the order in which they are received.
Luis Felipe Castellanos: If at any time you would like to remove yourself from the question queue, please press star then 2. Again, to ask a question, please press star then 1. Now. And the first question will come from Andres Soto with Santander. Please go ahead.
Andres Soto: Hi, good morning. Thank you for taking my question. My question is related to your guidance and your expectations for 2025. During the call, you mentioned you're expecting 15% ROE. I would like to confirm if that's still your expectation. And given that you're already at that level in the first quarter, which typically is seasonally low, what prevents you from expecting a higher level for this year?
Luis Felipe Castellanos: And, Andres, thanks very much for your question. At this point, we continue maintaining our guidance views. We had a solid start to the year. However, we're not ready to change it then. So we're remaining at that level, and, hopefully, we'll have risk to the upside. But still early in the year too.
Andres Soto: Thank you, Luis Felipe. And regarding specifically loan growth, do you have any updated view on that front? You mentioned across the presentation significant improvement in investment and consumer sentiment. Can we expect an upward revision to your initial expectations for loan growth? Or how are you seeing this year evolving?
Luis Felipe Castellanos: Yeah. It's the same as mentioned before, Andres. So we are seeing positive trends. However, this has to consolidate and materialize. So as you've seen, the consumer portfolio has not recovered yet, even though there's a positive sentiment. I guess, Peruvians are not looking to get into debt now. There's been lots of crazy events in the market. There's talks about the CTS being released again. There's talks about pension funds that might have another release that's being discussed in Congress. So there are many moving parts towards the materialization of recovery of consumer credit activity. And we do see a healthy growth in the commercial group in traction. So that continues to be a main driver of what we expect will happen this year. And that consumer portfolio is still we're starting to see traction. However, we are not where we would like to see it yet. We are cautious enough to change our views.
Andres Soto: Understood. Thank you, Luis Felipe, and congratulations on the results.
Luis Felipe Castellanos: Thank you, Andres. Your next question will come from Alonso Aramburu with BTG. Please go ahead.
Alonso Aramburu: Yes. Hi. Good morning. Thank you for the call. Two questions on my end. First, I wanted to ask if you expect any additional potential provisions or impairments from Telefonica, or are you basically comfortable with the provisions you did in the first quarter? And second, regarding your cost of risk, you have been around 2.5% the last couple of quarters. I believe the guidance was closer to 2%. I suspect that with the growth of consumer loans, cost of risk can trend higher. Assuming that happens, just wondering if you can give us some color on whether you expect this cost of risk to remain closer to 2.5% and not 3%. Thank you.
Luis Felipe Castellanos: Alonso, thanks so much for your questions. Regarding Telefonica, based on the information we have now and our analysis of the situation, what we have in the book is our best understanding of the level that will be needed for the short to medium term. Unless something drastically changes in terms of the process. As Michela mentioned, we have exposure in two of our subsidiaries. One is very straightforward. This is Interseguro that has bonds issued, and we were more than 50% covered on that front. That's what our models are saying. And then in the bank, it's a little bit tricky because it's not direct exposure. I think Michela mentioned as well. It's a contingent debt of credit, subject to certain procedures with the tax authority. So the probability of that becoming a real obligation is not that direct. I mean, it will probably take some time. However, we've been cautious with a big chunk of what could become at some point direct exposure. So based on what we have now, we feel comfortable. Again, it's everything to process as well. Our understanding is that we are well covered. However, if something drastically changes, we'll obviously communicate as soon as we feel comfortable. Regarding cost of risk, maybe I can pass it to Michela or Carlos, but I guess at 3%, due to growth of the consumer, you know, that recall of the credit cards and the cash loans portfolio. And maybe you can complement and help me.
Carlos Tori: Yeah. Definitely. So we have started to grow in the credit card and cash portfolio. The last two months we have grown, not as much as we would have liked. However, the growth Alonso, I think when we look at credit cards, there's two things that are very important. The first one is whether our proposition is working. And clients are using our cards, and that is happening. We've seen over 10% growth in turnover with our cards. And that is good. The value proposition is working. We're seeing traction, so that is good. However, as you have seen over the last couple of quarters, our vintages have been focused on lower risk and higher profile clients. So those clients are paying faster their loans, and it's harder to grow the portfolio. So even though we have been seeing good results in the value proposition, we have not been able to grow the portfolio as much. The later vintages, the last couple of months, have started to increase the level of risk, and likely we're being very conservative on how we do this. We want to go the other side. And there are certain things that obviously help a prepayment, which is, as Luis Felipe mentioned, the CTS. Obviously, in December, Peruvians get a double salary. So that kind of lowers the amount of our portfolio. But we have seen this trend reverse, and we will continue to monitor. If we increase risk, you will see two effects. It will affect NIM positively, obviously, but also maybe a little bit of increase in the cost of risk, taking us closer to the 3% that was on our guidance.
Michela Casassa: Yeah. Maybe if I just can complement one thing related to what we were expecting and what we are seeing. We are growing the portfolio 8%. So this is what we were expecting. Maybe the mix is being a little bit different. So in the mix, we are seeing a little bit less consumer lending. So in the numbers that you see, there is a little bit of pressure in NIM, but also improving the cost of risk. So at the end, the NIM after risk is the one that is performing better than what we expected, and that is also helping the ROE.
Alonso Aramburu: Perfect. Thank you. Very helpful.
Luis Felipe Castellanos: Thank you very much.
Operator: Again, if you have a question, please press star then 1. Our next question will come from Ernesto Gabilondo with Bank of America. Please go ahead.
Ernesto Gabilondo: Thank you. Good morning, Luis Felipe, Michela. Congrats on your results despite the impact of Telefonica. Most of my questions have been answered. So just a question in terms of competition. And also the evolution in terms of the credit card portfolio. As you are mentioning, it's in gradual recovery expected to accelerate in the second half. But how are you seeing also this evolution in your competitors? I believe in the past conference call, you were saying that you were trying to see to be relatively flat or experience a smaller decline when compared to the competition. So I just want to compare that. How you're seeing competition and the evolution of the credit card portfolio. Thank you.
Luis Felipe Castellanos: Hey. Hi, Ernesto. Thanks for your questions. I guess, yeah, the usual position is the same. After the impact of the credit cycle, there was I was looking at some numbers. Of course, in the last ten years, everybody went to the cautious perspective in the portfolio. And we are starting, given the positive macro backdrop that we are experiencing, more appetite towards growth in the consumer books, including credit cards. So again, not very different trends than what we have described for our portfolio. We are starting to see growth in our book. And we are also seeing the system as a whole recover. Some competitors being more aggressive than others. Some are still digesting late vintages, where they put the brakes later than others. But overall, the trends seem to be the same.
Ernesto Gabilondo: Perfect. Thank you very much, Luis Felipe.
Luis Felipe Castellanos: You're welcome.
Operator: At this time, we will take webcast questions. I will now turn the call over to Mr. Ivan Peill from Inspire Group.
Ivan Peill: Thank you, operator. The first question comes from Daniel Mora of Credicorp Capital. Is the status of the Telefonica corporate case? Did you reach the desired level of coverage, or can we expect higher provisions in the upcoming quarters? And what would be the normalized figure of net profits and return on average equity in the first quarter if we clean for this effect?
Luis Felipe Castellanos: Oh, hi, Daniel. I guess we already answered that question. Again, based on our models, our analysis, and the current status of the Telefonica case, we think we're well covered. If something drastically changes, we'll probably have to do more or if something improves, obviously, we could release some of the provisions back. Based on the information we have now, we are comfortable with the level of issues that we have. Don't expect anything in the short term. And if you take off that one-timer, you want to see that way, probably our earnings will have been north of $100 million.
Ivan Peill: Is there further room for a cost of funds improvement considering the recent decrease in the central bank rate? What are the NIM expectations for the rest of the year due to funding repricing but still weak consumer segment dynamics?
Luis Felipe Castellanos: Sure. Let me pass it on to Michela so she can help us with that answer.
Michela Casassa: Yes. There is still room, but it is little room to improve the cost of funds. There is space because of the decrease in the reference rate. But on the other side, you know, we have also issued some medium-term financing with higher rates than the one that we used to have before. So, I mean, I guess the biggest part of the improvement is already there, but we still expect some minor decreases in the future. The NIM should recover, I mean, based on this, but mostly based on the consumer portfolio growth.
Ivan Peill: The next question comes from Santiago Martinez of Credicorp Capital. We saw the consumer loan portfolio contracting 4.8% year over year in the first quarter of 2025, mostly due to a 9% decline in credit cards. You've mentioned a recovery is expected in the second half of the year. What key indicators are you monitoring to support this view? And do you expect consumer loan growth to be strong enough to meaningfully support NIM and overall profitability in the second half?
Luis Felipe Castellanos: Oh, thanks very much for that. I guess there's no specific indicator. It's just the overall performance of the economy, how salaries evolve, and also, as mentioned, it's not just a matter of us increasing our risk appetite. It's a matter of the consumer preferences as well. There's lots of liquidity in the system right now. But I've done kind of a general overview. Let me pass it on to Carlos, who is more engaged in the detailed strategy of the actions we're taking in our commercial strategy so he can give you more detail on your request.
Carlos Tori: Yeah. I guess it's similar to what I mentioned earlier. The key is how many people use our card things. And we have seen an increase in the use of our cards over the last couple of months. Some of that is being prepaid and some of that is being kept as a revolver. We have seen growth over the last two months. So that is positive. It's still small, but it's a reverse in the trend that you mentioned in your question. So that is good. We have seen an improvement in salaries, informal salaries, and formal employment, which usually is a good indicator. And then there are other forces that work against the growth of the portfolio, as I mentioned, which are if there's a lot of liquidity in the system due to the releases of CTS or if there's an AFP release again, that might make clients prepay some loans. But, in general, we're seeing good trends in terms of usage, in terms of preference, and also some increases in balance with good cost of risk. So in general, those are the things we look at. And it's trending positively. Not hugely positive, but positive trends. So that's something that we're monitoring closely.
Ivan Peill: Thank you, Carlos. At this time, there are no further questions. I would like to turn the call over to the operator.
Operator: Thank you. There appear to be no further audio questions as well. I would like to turn the floor back over to Ms. Casassa for any closing remarks.
Michela Casassa: Okay. Thank you very much. Just to summarize, we are very happy about a strong beginning of the year. And we'll see you all again in our second quarter earnings call. See you. Bye-bye.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.